Operator: Good morning. My name is Josephine, and I will be your conference operator today. At this time, I would like to welcome everyone to the Exelon Corporation 2017 First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the conference over to Dan Eggers, Senior Vice President of Investor Relations. Please go ahead.
Daniel Eggers: Thank you, Josephine. Good morning, everyone, and thank you for joining our first quarter 2017 earnings conference call. Leading the call today are Chris Crane, Exelon's President and Chief Executive Officer, and Jack Thayer, Exelon's Chief Financial Officer. They're joined by other members of Exelon's senior management team, who will be available to answer your questions following our prepared remarks. We issued our earnings release this morning along with the presentation, both of which can be found on the Investor Relations section of Exelon's website. The earnings release and other matters which we discuss during today's call contain forward-looking statements and estimates that are subject to various risks and uncertainties. Actual results could differ from our forward-looking statements based on factors and assumptions discussed in today's material and comments made during the call. Please refer to today's 8-K and Exelon's other SEC filings for discussions of risk factors and factors that may cause results to differ from management's projections, forecasts, and expectations. Today's presentation also includes references to adjusted operating earnings and other non-GAAP measures. Please refer to the information contained in the appendix of our presentation and our earnings release for reconciliations between non-GAAP measures to the nearest equivalent GAAP measures. We have scheduled 45 minutes for today's call. I'll turn it now over to Chris Crane, Exelon's CEO.
Christopher Crane: Thanks, Dan, and good morning, and thank you all for joining us. We are off to a great start in 2017. In March, we marked our one year anniversary of the merger between Exelon and Pepco Holdings. Since they closed, PHI has successfully executed on merger commitments achieved synergy savings and made significant progress towards full integration. We also continue to work hard on the regulatory front. Since the beginning of the year PHI closed up the Delmarva Maryland rate case and reached a settlement for our Electric and Gas rate case in Delaware. We are now down to just a Pepco DC cases from our first plant cycle of rate case filings. That said, our regular team is already started the second cycle of rate cases at Pepco Maryland and ACE’s plant. At ExGen we completed the acquisition of FitzPatrick power plant representing the 25th nuclear reactor where we have ownership stake. We welcome the new employees to the Exelon family. We also announced the Exelon Generation renewable joint venture which is allowing us to recycle capital at evaluation meaningfully above the value implied for our ExGen at our current share price. The JV allows us to make even faster progress on our debt reduction goals without diminishing our commitment to renewable power. We continue to focus on the legal challenges to the zero emission credits or ZEC in New York and Illinois we remain confident that our arguments will prevail. We’ll cover these points in more detail on the call, but I wanted to highlight what we have done while staying focused on the day to day operations. As shown on slide 5, on a GAAP basis we’ve earned a $1.07 versus $0.19 a share last year and on an operating basis we earned $0.65 versus $0.68 last year which puts as top of our $0.55 to $0.65 range and above consensus of $0.62. Moving to slide 6, our first quarter operational report was strong, our colored block charts highlight operating performance and customer satisfaction for the utilities. Legacy Exelon utilities remain almost entirely first quartile. PECO actually had its best customer satisfaction rating ever during the first quarter. BGE experienced the best ever CAIDI and SAIFI performance of all time. At PHI we are encouraged by the progress we are making and our customers are seeing the benefits. For example, by using a common Lockout-Tagout process, a procedure that establishes a zone of protection while restoring equipment we are able to send over 400 employees and contractors from BGE, ComEd and PECO to support the storm restoration at Delmarva during winter storm Stella. As a result, Delmarva customers had their power restored two days sooner. Our thanks to everybody that helped in accomplishing that speedy recovery. The power of Exelon utilities platform has significant benefit to our customers. We continue to improve upon these metrics to meet reliability commitments we have made to provide better service to our customers. The nuclear team had a great quarter also. They completed three refueling outages and achieved a capacity factor of 94%. They had also had the fastest refueling outage ever for Calvert Cliffs nuclear station 2 running 20 days. In the power business, we realized renewable energy capture rate of nearly 96% and a power dispatch match over 99%. Our two new bills, CCGTs in Texas have both achieved [first flyer] and are now selling test power onto the grid. The state of the art plants which are totally nearly 2,200 megawatts are on budget, on schedule for full commercial operations in the second quarter. We expect that they will be ready to participate in Texas this summer. At Constellation, our highly hedged portfolio in 2017 mitigates the impacts of weaker power prices and lower low given their mild winter weather. Even in this recent low volatility environment our C&I business has been able to hold on to the margins and keep customers renewables. On slide 7, we view 2016 is a great success in delivering our commitments and preserving some of our -- nuclear units by securing compensation for their clean energy attributes. For 2017, we are focused on executing on these gains we made last year and more importantly affirming the ZEC programs in the quarter. In New York, litigation is further along at this point. On March 29, the judge in New York Federal court heard all arguments on our emotions to dismiss. We made strong arguments of this hearing and believes it lies clearly on our side. We do ask that – we do did ask when we expect a decision but the judge has not given a specific timeline or deadline to issue [FERC] order. If we prevail on the motion to dismiss, we would expect the other side to appeal that decision. If the judge denies on motion to dismiss, we will move forward with the cases planned. As I have said previously, we are confident in the strength of our case. In Illinois, two groups of Plaintiffs have challenged the ZEC in Federal Court and the cases are being before one judge. The Plaintiff’s filed for preliminary injunction on March 31st we intervened in that case on April 10 and we filed motions to dismiss. The judge has held a preliminary injunction motion while he receives whole briefing on the motion to dismiss. He will then determine whether there is a legal basis to go forward. That briefing will be completed by May 15 and the judge is scheduled to inform the parties of his intention on May 22. In the interim, we start recognizing ZEC revenues in New York on April 1. In Illinois the utilities have filed tariffs to [complete] getting collecting the ZEC payments on June 1. We don’t expect the actual ZEC procurement process in Illinois to conclude until later in the fall we remain confident that the ZEC programs will be upheld in the courts to the benefit of the state, the communities and these valuable resources. As we have discussed last year in our carbon policy principles, we see state programs as an essential mechanism until we have a more cohesive federal policy that values clean base load generation. Energy’s Secretary, -- recent directed to look at the importance of preserving base load generation is early but encouraging. We appreciate the Secretary’s focus to promote the needed market reforms to compensate these assets. We will support the DOEs effort as they move forward. Turning to the upcoming PJM auction, we understand the investment community is paying close attention particularly after the disappointing MISO capacity auction results. Joe Nigro is available to answer more detailed questions if you have them, but let me share a few thoughts around the auction. To the two positive we are going to a 100% CP for the first time which will put a higher performance burden on the entire fleet. We still think this should lead to a more responsible bidding given the higher risk around non-performance. The CETL numbers or the import capacity into ComEd and EMAAC LDAs have tightened this year versus last year. The tightening can flag more constraint market conditions than last year in these zones which could help in separation. So the negative PGM load, its demand forecast again for this auction in the approved seasonal aggregation that will allow products that otherwise would not clear to participate in a 100% CP world. Finally, we have the risk of more uneconomical generation being built primarily in Pennsylvania in Ohio. These drivers were important but we still expect clearing prices to come down to bidding behavior. You have seen our bid our assets in recent auctions to reflect the underlying economic needs of the individual plants, which in turn had led to some of our plants not clearing. You should expect us to bid our assets in the same responsible fashion in this next upcoming auction. Now let me turn the call over to Jack to walk through the numbers.
Jonathan Thayer: Thank you Chris, and good morning, everyone. My remarks today will cover our first quarter results, an overview of our current rate cases, an update of our gross margin disclosures and a review of some of the events that occurred this quarter. Turning to slide 8, we had a strong quarter financially and operationally across the company. For the first quarter we delivered adjusted non-GAAP operating earnings of $0.65 per share, at the top of our guidance range of $0.55 to $0.65 per share. This compares to $0.68 per share for the first quarter of 2016. Exelon’s utilities delivered a combined $0.47 per share versus our plant and utility results were impacted by unfavorable weather at PECO and PHI which was more than offset by O&M timing across all the utilities. With 70% of our distribution rate base and decoupled jurisdictions including ComEd starting in 2017, we experienced less volatility on our utility earnings from record warm weather in January and February than if we did not have these programs. To help put this winter in context, this was the first time in 146 years when there was no snow on the ground at Chicago for both January and February. Looking across PJM, January and February was the warmest on record since data started being collected in 1950. Generation had a strong quarter relative to plan earning $0.18 per share. We had good performance from our nuclear assets with better capacity factors than budgeted and our constellation team once again delivered strong results despite weak power prices and low volatility. Turning to slide 9. The $0.65 per share in the first quarter of this year was $0.03 per share lower than the first quarter of 2016. To the positive, we had a full quarter of contribution from PHI relative to only 8 days last year, which added $0.09. The other utilities benefitted from rate relief and higher rate base, partly offset at PECO with even milder weather than last year. ExGen was down year-over-year primarily on the loan impacts of lower capacity prices and power price realization as well as more planned refueling outages. Turning to slide 10, we are reaffirming our full year guidance in this range of $2.50 to $2.80 per share. We expect to deliver operating earnings of $0.45 to $0.55 in the second quarter compared with $0.65 last year. Our second quarter results will include contributions from the FitzPatrick plants and the plants of the New York ZEC program that started on April 1. The Illinois ZEC legislation will go into effect on June 1, and plant procurement is expected to occur later this fall. Plants receiving contracts with recognized revenues retroactive the June 1st effective date. Moving to slide 11. Our utilities continue to execute well delivering strong earned returns in the quarter. Looking at the trailing 12-month booked ROEs we saw nice improvements even relative to what we showed last quarter. At PHI we saw all of the utilities registered gains with some that are coming as revenues from the first cycle of rate cases are starting to flow through to results. For the Legacy Exelon utilities we continue to see strong earned ROEs over 10% that led the consolidated Exelon’s utilities platform to nearly 10% including PHI. We have plenty of work to do at Utilities and with our regulators to keep improving the product we are delivering to our customers, but we are happy with where the overall business is performing. We are obviously pleased with where our earned ROEs are trending, but I want to remind you that there will be variability in the earned ROEs that are different utilities as we go forward. The timing of rate case implementation, weather comparability and in-service states were all at back results. We think the ability to earn strong ROEs and the plan that we had in plan at PHI they improved their ROEs will be the recipe for our future success. On slide 12 we have an update on our rate cases. Since our fourth quarter call, we have closed out the Delmarva Maryland case with a revenue increase of $38 million. We’ve also reached unanimous settlement in our Delmarva Delaware Electric and gas cases for $31.5 million and $4.9 million respectively and would expect commission approval during the second quarter. From our first cycle of planned rate cases we are now down just to the Pepco DC case but we expect the commission decision later in July. We are proud of the hard work from our utilities and regulatory teams, these efforts are helping to get PHI’s revenues and earned book ROEs back on course while we simultaneously improve performance for our customers. As we have shared with you many times before, we’ve always viewed the turnaround in PHI earned ROEs as a – rate case cycle process. To that end, we filed our second rate cases in ACE and Pepco Maryland this quarter. Combined with the outstanding cases from the first cycle that I previously mentioned we are currently asking for $252 million in revenues which reflect recovery on multiple years of capital investments that have been made to improve the reliability of the grid across these jurisdictions. We expect the final ruling on Pepco Maryland and ACE likely in Q4, 2017 and first quarter of 2018 respectively. We plan to file a second cycle of cases in most if not all of PHI’s jurisdictions in 2017 with all completed by the end of 2018 putting us in a position to earn between 9% and 10% ROEs in 2019. More details on the rate cases and the schedules to be found on slide 29 through 36 in the appendix. Slide 13, provides our gross margin update for ExGen. In 2017, total gross margin is flat to our last disclosure. During the quarter, we executed on $150 million of Power New Business and $50 million of Non-Power New Business. We are highly hedged for the rest of this year and have fell down -- generation to load matching strategy. Total gross margin decreased in the first quarter by $50 million in both 2018 and 2019 due to the impact of price changes on our order portfolio. We ended the quarter approximately 12% to 15% behind our ratable hedging program in 2018 an 8% to 11% behind ratable in 2019 when considering cross commodity hedges. The majority of our length is concentrated in the Midwest to align to our view of spot market upside at [Nine]. Although we have increased our lengths in other regions as well. We are comfortable to be more open when we look at market fundamentals. For example, oil regional natural gas prices today are over a $1 per MMbtu higher than they realized last year, yet the forwards for power are only about $1 per megawatt higher. We do not believe that is a sustainable situation. To that point I should note that power prices have risen since the start of the second quarter and have reversed about half of the first quarter price declines. On slide 14 we have highlighted some key recent events. On March 31, 2017 we executed on the creation of the Exelon Generation renewable JV, which will provide us with $400 million of pretax cash, including allocated debt that puts total JV Enterprise value at approximately $1.7 billion, the price implies an EV to EBITDA multiple over ten times and $1 per – [KW] value over $1,200. The JV consists of 1,296 megawatts of renewable generation capacity which is about 35% of our renewable output and has an average contract life of 14 years. The JV structure provides the option to drop down contracted renewable assets from our portfolio in the future. The proceeds from this sale will be used to accelerate our deleveraging strategy. Also on March 31, we closed on the acquisition of the FitzPatrick nuclear station from Entergy which adds 838 megawatts of nuclear capacity to our portfolio. The FitzPatrick plant is part of the New York ZEC program and will receive ZEC payments for the next 12 years which started on April 1. The plant is now operated by Exelon and I am happy to report we had a clean cut over of FitzPatrick onto the Exelon platform. We are excited to have the FitzPatrick employees as part of the Exelon family. Our Exelon generation Texas partnership, commonly referred to as EGTP is a portfolio of 3,476 megawatts of gas generation in Texas. In 2014, we raised $675 million of non-recourse project finance for the assets which currently has a balance of approximately $650 million. With a downturn in ERCOT power markets these assets have been under pressure with a debt rating at a discount of base value for some time and the plant is struggling to generate adequate cash flows. Due to the combination of challenge cash flows and our decision not to inject additional equity we have come to terms with the lenders to pursue an orderly sale of the assets on their... The modest current earnings and all of the debt are still included in our financial outlook. However, we see the ultimate exit from these assets being accretive to our UPS] and debt to EBITDA multiples starting in 2018. In light of the process we are not in a position to expand further out in this transaction. Finally during the quarter, we decided to discontinue the sales process of Mystic 8&9 assets. We were exploring a sale of these assets as a direct result of interest received from potential buyers. During the sales process we ran into some issues with the fuel supply agreement that needs to be addressed. And as we said we would only transact if we were to realize a price greater than our – value. Our continuing to own these assets does not impact our commitments on our debt-to-EBTIDA target and debt reduction plans that we’ve already shared with you. Turning to slide 15, we remain committed to maintaining a strong balance sheet in our investment grade credit rating. We are forecasting to be a 3.2 times net-to-EBITDA at ExGen by the end of 2017 and have a clear path to our long term target of three times debt-to-EBITDA. On a recourse debt basis, we are already well ahead of our target and taking into account the sale of EGTP we would be on target overall. As we said before we will look to [Indiscernible] whole project once we have reached three times target at ExGen. I’ll now turn the call back to Chris for his closing remarks.
Christopher Crane: Thanks, Jack. This brings us to back to our value proposition shown on slide 16 which ain’t familiar. It is unchanged from our last earnings report and we remain committed to these points. We continue to grow their utility rate base at 6.5% annually through 2020 and regulated EPS by 6% to 8% annually through 2020. We continue to use free cash flow generated at ExGen to fund the incremental equity needs of the utilities of $2.5 billion and pay down approximately $3 billion of debt over the next four years at ExGen and the Holding Company. We are focused on optimizing value for ExGen business by seeking fair compensation for our carbon free generation fleet closing uneconomic plans, opportunistically selling assets where it makes sense to accelerate our debt reduction plan and maximizing value through our gentle load matching strategy. We continue to focus on sustaining strong investment grade credit metrics and grow our dividend in a consistent visible manner. Thank you for your interest and we are now ready for questions.
Operator: [Operator Instructions] Your first question comes from Greg Gordon with Evercore.
Greg Gordon: Hello good morning.
Christopher Crane: Good morning, Greg.
Greg Gordon: I notice that when you gave the update on your cash flow projections for the balance of the year that it’s several hundred million dollars higher. I don’t remember exactly the slide number. It’s slide 18. It looks like the utilities are the major contributors to that with a modest decline and expected ExGen cash flow, can you give us a little more color on that?
Christopher Crane: Sure Greg. It is the utilities and some of its energy efficiency timing and some of its just working capital, so we are about I think $200 million roughly higher than our expectation.
Greg Gordon: Okay. Is that sort of a – is that a sort of a permanent affect in terms of as I think about rolling the balance sheet forward or is that more of a timing issue on when you are going to collect cash flows or spend capital?
Christopher Crane: The working capital is more of a timing issue, some of the energy efficiency is permanent.
Greg Gordon: Okay, can you give us the sense of what the split is there?
Christopher Crane: $100 million energy efficiency, sorry.
Greg Gordon: Okay. Thank you very much. Second question and maybe it’s not something you are able to really engage with me on the call on, but one of the reasons why I think the stock has underperformed is because people are looking obviously you’ve had a little bit of softness in the 18,19 curves. You already told us that’s bounced a little bit but if people are looking forward to the sort of 2020 role coming this fall and looking at the open theoretically open position and worried about the capacity market print and thinking while 2020 is going to be another down year. So I don’t know if you can comment on how that looks today and also how that dovetails with what you continue to do with vis-à-vis debt reduction at the – at ExGen because while the balance sheet looks like it’s in absolutely great shape today if EBITDA keeps going south, there is sort of a bar keeps going up every year in terms of what you have to do with your cash flow to keep it at that level of leverage.
Christopher Crane: A couple of thoughts Greg. One, I think it’s probably given the liquidity in the market premature to forecast our 2020 ExGen earnings. But one thing to keep in context, on a recourse basis by 2020 we’ll have $4 billion of debt. That is the most pristine balance sheet I think in this sector. So, from a strength perspective with the balance sheet and the ability to deal with the cyclicality of markets I think we are well positioned. Our fundamental perspective would be that as liquidity returns to the market prices are going up across and our hedging approach and the length that we are carrying relative to ratable is the master of that. So I think it’s meaningfully premature to be trading on 20/20 in 2017.
Greg Gordon: Fair enough. Thank you guys.
Operator: Your next question comes from Jonathan Arnold with Deutsche Bank.
Jonathan Arnold: Good morning guys.
Christopher Crane: Good morning.
Jonathan Arnold: Question on, you mentioned I think that you would be bidding the units in the PJM auction and the same I think you said responsible fashion. Can you give us any insight into what you see as different in the PJM auction set up with respect to say the and the QUAD which has the ZEC and Clinton which obviously cleared at a low price in MISO is there anything we should be thinking as we compare those two situations?
Joseph Nigro: Good morning. It’s Joe Nigro. I’ll take that question and answer it and if I’ll start by saying we have a long standing practice of really not discussing our bidding strategy around the capacity auctions where we think it will clear. I think there is one thing that we have to take into account; it’s the timing that you auctioned. The MISO auction was for June of this year through May of next year, and the PJM auction obviously is much further out in the curve. When you think about the operations of the power plant and the fuel loaded in the [Indiscernible] for example, that plant was going to continue to operate during that period. What I’d most say about QUAD cities in the bidding is we are going to continue to remain responsible in the way we bid our capacity reflecting the underlying economics of our plant and that’s consistent with what we’ve done with past options. I think the major question mark with this option continues to be as Chris mentioned bidding behavior from the existing generation as well as the discipline associated with new goals. As it relates to existing facilities we continue to see economically challenged plants that have cleared previous options and in addition to that we see the economics, the new goals being marginal. In your last option we cleared about 27 gig watts of base capacity which was about 16% of the total procurement and it remains to be seen how that 27 gig watts would participate in this auction but the big variables as I mentioned will continue to be the bidding of all the plants and we will remain discipline in that regard with all our facilities.
Jonathan Arnold: Okay. Thanks, Joe. And then, could I also ask on that, I guess, topical issue today, but can you quantify to or describe your exposure to Westinghouse as a supplier presumably in the field business primarily and how we should -- is there any concerns you have with regard to the bankruptcy?
Christopher Crane: It’s something that we follow closely not only as a supplier but for the industry. We have reviewed our positions that we have commercially with them. We’re not concerned at this time, but we’ll continue to watch it closely few fabrication. We continue to see that is an ongoing entity in the services business. We continue to gain support to see that is an ongoing entity. None of us know how it’s going to shake out yet, but we have minimal exposure there.
Jonathan Arnold: So, can you give us sort of percentage of the fleet of that service or supply fuel too perhaps?
Christopher Crane: I can get the number for you. We continue to competitively bid our reactor fuel suppliers between multiple suppliers and we move that around based off of pricing but we are not held hostage to a single entity on fuel fabrication.
Jonathan Arnold: All right. Thanks Chris.
Operator: Your next question comes from Steve Fleishman with Wolfe Research.
Steve Fleishman: Yes. Hi, good morning. Just wanted to get your thoughts on this DOE review going on baseload generation and maybe we also just have this FERC Conference and how these might tie into kind of state-by-state ZEC process that has occurred so far, we’re trying to be of help this for generation. What could come out of DOE?
Christopher Crane: Yes. Steve, let me start off and talk a little bit about the Technical Conference over the last couple of days. There were three buckets of issues that I think we got to look at. One is carbon pricing on the market and what FERC could do to facilitate the states who are interested in doing that. The second bucket would be the Mopar issues, that’s PJM Grid 2020 [Indiscernible] ISO put out, and the third bucket are energy reforms. And so I think all three of these things are implied as well in connection with the Secretaries. Now, let me talk about the three. First, we think there was a constructive discussion around having one of the issues that has limited the ability of states to incorporate aggressive pricings between the states and I think there was good discussion around what FERC could do to address that problem. There is I think a plenty of degree to solve Technical Conference, a growing recognition that putting carbon explicitly in the market is something that would address a lot of these issues and there is growing receptivity to that. The issue of the Mopar that's where I think it most directly addresses the state ZEC programs and the REC programs. The New England proposal doesn't deal with existing baseload generation or existing generation of any kind, frankly and that’s consistent with FERC’s President. And so that template wouldn’t have any effect on the state programs. The PJM proposal does however deal with existing resources. And we have not historically supported that proposal. We recognize PJM has made some important changes and those were talked about at the Technical conferences. The issue with the Mopar from our perspective is that it is the distraction from some unfinished work that we believe FERC and PJM want to get to first. Unfortunately it’s become little bit of tempest in a teapot, in a sense that there’s a false narrative out there that the challenges to the IPP sector are driven by ZEC and REC policies, when in fact number of our college in business saw equity value is dropped by 70% and 80% before the ZEC even came in to our dialogue. So we don’t think the Mopar is an approach that it’s going to be workable, applies in a face of what states are looking to do. I don’t think it will that effective. We talked about MISO Zone 4, its notable that. And we did Clinton in a way where we’d not have cleared the matter of auction or had been excluded by Mopar, the price in MISO would have risen from a$1.50 to $5 a megawatt that certainly not going to address the downstate issues that ING and others are facing. At the end, we agree with what Chairman, [Indiscernible] and she basically question the wisdom of approaching this problem set with more Mopars per units that are receiving state environmental attribute payments. And I think that's why New York ISO, MISO and others are not going in that direction. So, that’s we don’t agree with the direction on the Mopar, but let me talk to you about something important that came up during recession and I think we do reporting that. And that is [India] talked about in Monday session and I’m going to loosely quote saying that we politely ignored energy market design problems that are under value in baseload access. And here, we can’t afford to ignore those problems any more. And we completely agree with that. We talk and talk over the last few years of that energy pricing problems in the markets, can’t back sold, negative pricing, to back that certain units and set price certain hours, the over commitment of resources driving uplift and a whole host of issues that we’ve had technical conference is on and white paper on and we just having gotten, started and working on that. And as a consequence, and not addressing those energy market issues, states and our customers are being deprived of assets that add resiliency, they add fuel diversity and they add some environmental benefit. And so, what we expect to do at the end of the technical conference you heard California and others echo this is we want set a deadline for bringing to conclusion again our energy market reforms that we’ve talked about. And we think that talking about Mopars or other things that interfere with states rates before we fixed the energy market problems it’s a little bit like putting your shoes on before you putting your pants up. At the end of the day, it makes you look a little bit sold. And so once we get a reconstituted format at FERC, we’re going to go after these energy price reforms and we think Secretary Perry's memo opens the door to address these issues. So we think for last couple of days at Secretary Perry's memo gives us an opening to look at some unfinished business that we have get at it. So, long answer, big subject, but we see lot of promise than we what we saw in last couple of days and we’d see a lot of promise with the DOE is working on that. We have to get this stuff over the finish line.
Steve Fleishman: Great. Thank you.
Operator: Your next question comes from Julien Dumoulin-Smith with UBS Securities.
Julien Dumoulin-Smith: Good morning everyone.
Christopher Crane: Good morning Julien.
Julien Dumoulin-Smith: So, perhaps just to take it back couple of questions here, can we talk about the non nuclear generation strategy, specifically I wanted to just follow-up little bit on the renewable sell down. First, what's the remaining EBITDA that could be eligible to be sold down if you want to qualify it that way? And then secondly, can you talk about whether or not you would eventually review the mystic sales. Is this something about restructuring the fuel arrangement and a matter of time or is probably something that it’s going to be on the back burner for a little bit? And actually I’ll throw the third question at the same time. With regards to Texas its not be very clear about this deed. The new Texas combined cycle assets or separate discrete process to the extent which that you ultimately divest and/or lose control of the ExGen taxes asset. It’s correct?
Christopher Crane: That last question is correct. And they’re totally separate and would be operated that way. They are not part of the divestiture process. On the first two questions, Jack.
Jack Thayer: So Julien, with the JV structure we have the opportunity to sell down further assets, the two that come to mind are our AVSR solar facility which in 29th but that would not occur until 2019, but we’ve got to get through the ITC recovery period for that. And the second assets would be our Albany Green Energy facility, it is wood-burning plant that hasn’t contract to off-takers down in Georgia, that’s coming online this year which could facilitate to drop down end of 2017 more likely 2018 and that’s all contemplated as part of the overall structure with the JV. With respect to the EBITDA I’m not going to drill down into that and with respect to the GDP given the sales process that we’re working with the lenders on, I just don’t think it’s pretty impress to disclose the – and then with respect to Mystic, again, I answer that.
Julien Dumoulin-Smith: Yes. Would you revisit Mystic, just to follow-up on that one or is that something is off of the table for now?
Christopher Crane: We’re not going to talk a lot of details, but as we see in asset in that portfolio as a potential to create value and recycled capital we’ll look at them. We will look at it on an annual basis. We have some work to do on that one site, but we’ll continue to evaluate it going forward.
Julien Dumoulin-Smith: Excellent. Just to understand the JV structure bit further. On the renewable sale why not sell down the whole entity overtime as part of a wider deleveraging, why opt for this sort of JV structure?
Christopher Crane: We’re still committed to clean portfolio. It’s being in the renewable business is still part of our strategy. At this point maintaining the operational control, that maintenance and other facilities is important for us for our investment. And we’re getting a fair return from those, but at this point we felt that the valuation that we were getting in the market allowed us to recycle the capitals, so we’re not existing the renewable business and we continue to put about 125 million a year into solar at the CNI level or some of our national customers and We’ll continue to look at that portfolio how to best manage those investments going forward.
Julien Dumoulin-Smith: Excellent. Thank you for the patient.
Operator: Your next question comes from Stephen Byrd with Morgan Stanley.
Stephen Byrd: Hi. Good morning.
Christopher Crane: Hi, Steve.
Stephen Byrd: I wanted to follow-up up on Steve’s question on the department of energy review. In terms of potential agencies or entities involved in your mind is that most likely to be FERC or Federal Legislation, in other words, I guess I'm struggling to figure out how the Department of Energy itself could provide economic support for baseload whether the nuclear, coal or gas. What sort of entities would most likely be involved and I guess I’m thinking if the states are providing value for environmental benefits from ZECs and the ISOs are providing the reliability benefits through capacity performance. What other elements are not being captured? Or what other tools are potential here?
Christopher Crane: Yes. Let me assume this [Indiscernible] couple of parts to that. First we think the DOE has an important role in setting policy, I think the implementation inform of that policy could in certain instances being new legislation, it could be things that are at the ARC in terms of regulatory burdens on nuclear, but it would involve the commission in that sense, it could involve changes in rules at FERC. But DOE is going to have an important voice in our view and this policy discussion and we’ll set the tone even if you can’t complete all of the objectives. There are certain tools that DOE has Section 202(c) authority under the Federal Power Act as an example allows them to secure resources in the market that are needed. That is a power that has been used sparingly I thing only two times in history, but certainly there is a discussion around the use of it for baseload resources. With regard to attribute payments I think environmental attribute payments I think we’re kind of been to wait and see where the administration goes on carbon, but I think you’re general sentiment is correct that that’s not something we see immediately coming out of the department. But U.S. kind of more fundamental question is, states are covering environmental and PJM is covering the liability. What’s left? Well, I tell you what’s left. What’s left is resiliency which is a little bit of a different concept than reliability. Reliability assumes that pipeline infrastructure and other critical pieces are in place. PJM assumes that and says whether there is some reliability impacts or the reliability expectations could be met. Resiliency looks a little bit deeper at that and understands the impact of pipeline disruptions on natural gas-fired generation and should we start modeling those sorts of things, is there a value there. The other piece is that it’s not currently valued in the market is fuel diversity. As we transition to a market that is made up more and more of just natural gas, we’re exposing our customers to fuel price volatility in the long run. Those things because of the short-term nature of the market are fully considered, but if you look at Secretary Perry’s memo and it gets a second bullet point, second and third bullet points so that memo address those very issues.
Stephen Byrd: That’s very, very helpful to think through. Really appreciate that. And then just I wanted to revisit your nuclear operational capabilities and appetite for growing your ownership of nuclear plants. I mean you acknowledge as a very strong nuclear owner and operator. Under what circumstances would you think about increasing ownership of merchant nuclear generation? What kind of criteria would you think about in terms of your appetite for doing so?
Christopher Crane: Yes. We have interest in increasing merchant exposure across any technology. What we would look at is only contracted secure revenue streams going forward, it’s pretty clear cut.
Stephen Byrd: That makes sense. But that could include state to state sort to determine payments rather than a classic PPAs, is that fair?
Christopher Crane: Yes. That is fair.
Stephen Byrd: Okay. That’s all I had. Thank you.
Christopher Crane: Thanks. It’s time for one more question, operator.
Operator: Okay. Your next question comes from Shahriar Pourreza with Guggenheim Partners.
Shahriar Pourreza: Hey, guys. Good morning.
Christopher Crane: Good morning.
Shahriar Pourreza: Just real question on how you sort of thinking about the dividend and you’ve got utility that’d eventually to sell fund, sell fund the dividend and cover the whole co-interest. What data points are you looking at where you could sort of think about revisiting the growth rate. Is sort of clarity around PJM? Is clarity around ZECs? What sort of a data point we should be thinking about?
Christopher Crane: Yes. We updated our dividend policy. The board updated the dividend policy about a year ago and gave you the clarity through 2018 on annual 2.5% increase of the dividend. As we said at the time we want to give you a longer-term view on dividend policy. What we need to do is execute on our rate cases in our efficiency at the utilities and in costs and operations. And so 2017 is going to be a big year to continue to have that focus. And so as we come through 2000 into 2018 we can have a dialogue with the board looking at we’re achieving or close to achieving the goal towards 2018, 2019 on where we were going financially in our focus and strategy. So next year – this year is a big to perform. Next year is a year where we should be working very hard to give you a longer term view.
Shahriar Pourreza: Excellent. And then just lastly on retail, just maybe a little bit of an update. I mean, obviously there are some businesses that have changed hands. There some consolidation. There’s some obviously some trends, segment turnings into bit of oligopoly. So I'm curious on just from a generality standpoint what you're seeing as far as the margin environment and that would be helpful?
Joseph Nigro: Good morning. It’s Joe Nigro. I’ll answer the last question first. Our retail margins for C&I origination still remain between that $2 to $4 we talked about well within that payment. The market hasn’t seen volatility and we continue to monitor that. The consolidation overall helps because there is less participants in the marketplace we’ve acquired companies ourselves, obviously all the big entities that have come to this face that hasn’t been there historically. That’s been a positive. We have seen some aggressive bidding behavior by some smaller entities in certain sectors like government, contracting and other things but overall we continue to monitor this very closely and we are comfortable with the projections we have in our margins remain in net $2 to $4 space.
Shahriar Pourreza: Got it. Terrific. Thanks guys.
Christopher Crane: Thanks, Pou.
Operator: That is all the time we have for questions. I would now like to turn the call back over to Chris Crane for closing remarks.
Christopher Crane: Thank you. We appreciate your time and interest in Exelon. We really are off to a great start in 2017 and look forward to executing on the commitments we’ve made to you. So appreciate your time today and I’ll end the call.
Operator: That does conclude today’s conference call. You may now disconnect your lines.